Operator: Good morning and welcome to the Star Group Fiscal 2019 Second Quarter Conference Call. [Operator Instructions] Please note, this event is being recorded. 
 I would like to now turn the conference over to Chris Witty, Investor Relations moderator. Please go ahead. 
Chris Witty: Thank you and good morning. With me on the call today are Board member Dan Donovan; Jeff Woosnam, the company's new Chief Executive Officer; and Rich Ambury, Chief Financial Officer. 
 I would now like to provide a brief safe harbor statement. This conference call may include forward-looking statements that represent the company's expectations and beliefs concerning future events that involve risks and uncertainties that may cause the company's actual performance to be materially different from the performance indicated or implied by such statements. All statements other than statements of historical facts included in this conference call are forward-looking statements. Although the company believes that the expectations reflected in such forward-looking statements are reasonable, it can give no assurance that such expectations will prove to have been correct. Important factors that could cause actual results to differ materially from the company's expectations are disclosed in this conference call and in the company's annual report and Form 10-K for the fiscal year ended September 30, 2018. 
 All subsequent written and oral forward-looking statements attributable to the company or persons acting on its behalf are expressly qualified in their entirety by the cautionary statements. Unless otherwise required by law, the company undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise, after the date of this conference call. 
 I'd now like to turn the call over to Dan Donovan. Dan? 
Daniel Donovan: Yes. Thanks, Chris. I just wanted to make a -- take a brief moment to introduce our new President and CEO, Jeff Woosnam. He and his team have been in place since mid-March. But in reality, they've been part of the company for decades. The board has complete confidence in Jeff and the other executives at Star Group. They are extremely qualified and uniquely qualified to take Star to the next level as a leading organization dedicated to serving the home energy industry. They know the company, they know the markets better than anyone else and they have transitioned very smoothly into their new roles. The Board looks forward to seeing positive results from management's focus on the fundamentals and the execution of Star's core strategic objectives. 
 With that, I'll turn it over to Jeff. 
Jeffrey Woosnam: Thanks, Dan, and good morning, everyone. I'm excited and honored to be appointed to my role as President and CEO of Star Group. And with the new management team now in position, I am pleased to reaffirm our commitment to being the most reputable company in the home energy space. Rich Ambury, Jeff Hammond, Joe McDonald and I, along with what I consider to be the strongest group of employees in our industry, are ready to take the company to new heights of accomplishment in terms of growth, market presence and provide long-term returns to our investors. We will accomplish this by being laser-focused on clearly distinguishing Star from our competitors by providing the absolute best customer experience and service available within our industry. While we've achieved a great deal over the years, we believe there's still tremendous opportunity for us to continue to refine and execute the fundamentals of our core business. 
 Our team has already begun working to evaluate all of our operations, support departments and systems to determine the best path forward and to align the entire organization with the following strategic objectives: One, we want to be universally recognized as the premier service provider in the home energy industry across all of our many brands and throughout our entire footprint by our customers, employees and the communities we serve; two, we will strive to grow our business both organically and through acquisitions; three, we will seek to achieve solid financial returns so that we remain a fiscally healthy and stable company for our employees as well as continue to be an attractive and lucrative investment for our unitholders; and four, we will be the clear employer of choice by the industry -- an organization that is invested in its people, appreciates their efforts and rewards high levels of performance. 
 All future decisions and actions will be made with these 4 objectives in mind. To that end, we will continue to strengthen our service platform, focus on reducing customer attrition, streamline operations where appropriate and utilize technology to effectively compete. I will add that I've been with Star for 24 years and have never been more optimistic about our future because I know firsthand that our team is poised and ready to take the next step forward together to reach our full potential as a business. 
 With that, I'll turn the call over to Rich Ambury to provide some comments on the quarter's results. Rich? 
Richard Ambury: Thanks, Jeff, and good morning, everyone. For the quarter, our home heating oil and propane volume decreased by 7 million gallons, or about 4% to 173 million gallons as colder temperatures and acquisitions were more than offset by the impact of net customer attrition and other factors, including a delivery scheduling variance. 
 As you might recall, the extremely cold temperatures experienced during the last week of December 2017 favorably impacted volumes sold during the second quarter of fiscal 2018 by an estimated 5 million to 6 million gallons. Temperatures for the fiscal 2019 second quarter were 3% colder than last year, but still 2.6% warmer than normal. Volume of our other petroleum products sold increased by 9 million gallons or 30% to 39 million gallons largely due to acquisitions. 
 Our product gross profit increased by $2 million or 1% to $222 million as an increase in home heating oil and propane margins was almost totally offset by the decline in home heating oil and propane volumes sold, again driven largely by the delivery scheduling variance. Gross profit generated from other petroleum products decreased by $2 million, large -- increased by $2 million, I'm sorry, by $2 million largely due to acquisitions. Delivery and branch expenses increased by $4 million or 4% to $111 million during the quarter, again largely due to acquisitions, which accounted for $5 million of the increase. 
 In the base business, insurance expense was lower by $2 million, and the quarter-to-quarter comparison was adversely impacted by a $1 million credit recorded under our weather hedge in the second quarter of fiscal 2018. We posted net income of $72 million or $18 million higher than the prior year as a noncash favorable change in the fair value of derivative instruments of $25 million was offset by a decline in adjusted EBITDA of $5 million. The company also benefited from a decline in the effective tax rate to 29% for the second quarter of fiscal 2019 from 34% during the second quarter of fiscal 2018. 
 Adjusted EBITDA decreased by $5.3 million or about 5% to $99.5 million as the additional adjusted EBITDA provided by acquisitions of $3.4 million was more than offset by an $8.7 million decline in adjusted EBITDA in the base business. 
 In looking at the base business, adjusted EBITDA did rise by about $750,000 as the impact of colder temperatures and higher home heating oil and propane margins more than offset some higher operating expenses and the impact of the previously mentioned delivery scheduling volume variance. 
 However, adjusted EBITDA in the base business was reduced by several factors: $3.8 million due to the implementation of the new revenue recognition standard, of which the majority is expected to be reversed by the end of fiscal 2019; $2.2 million of higher legal and professional expenses; a charge of $1.5 million related to the discontinued use of our tank monitoring system; and an adjusted EBITDA loss of $600,000 associated with the company's concierge program, which was greatly reduced this past January; and lastly, $1.3 million of expense tied to an unfavorable change in Star's weather hedge. 
 For the first half of fiscal 2019, our home heating oil and propane volume increased by 3 million gallons or 1% to 287 million gallons as colder temperatures and acquisitions more than offset the impact of net customer attrition and other factors. Temperatures for the first half of fiscal 2018 were 4% colder than last year, but still about 2% warmer than normal. Volume of other petroleum products sold increased by 20 million gallons or 33% to 81 million gallons largely due to acquisitions. 
 Our product gross profit increased by $31 million or 9% to $374 million due to higher home heating oil and propane volumes sold at higher margins and an acquisition-driven increase in gross profit from other petroleum products. Delivery and branch expenses increased $16 million or 8% to $213 million partly due to acquisitions, which accounted for $9 million of the increase and a $7 million increase in the base business due to higher bad debt expense, credit credit card processing fees, the concierge program, additional vehicle operating expenses and inflationary pressures. 
 We posted net income for the 6 months of fiscal 2019 of $75 million or about $10 million lower than the prior year period as a noncash unfavorable change in the fair value of derivative instruments of $17 million and a hiring effective -- for higher effective income tax rate was partially offset by an increase in adjusted EBITDA of $12 million. 
 Adjusted EBITDA increased by $12 million or 9% to $144 million. Acquisitions provided $5.1 million of the increase. And in the base business, adjusted EBITDA rose by $7 million. The impact of colder temperatures and higher home heating oil and propane margins in the base business more than offset greater total operating expenses, improving the year-over-year adjusted EBITDA by $17.5 million. 
 However, adjusted EBITDA in the base business was reduced by several factors: $3.2 million due to the implementation of the revenue recognition standard; $2.6 million of higher legal and professional expenses; a charge of $1.5 million related to the abandonment of our tank monitoring program; and an adjusted EBITDA loss of $3 million associated with the company's concierge program, which I have mentioned that we've pretty much curtailed this past January. 
 And with that, I'd like to turn the call back over to Jeff. 
Jeffrey Woosnam: Thanks, Rich. At this time, we will be pleased to answer any questions you may have. Alissa, could you please open the phone lines for questions? 
Operator: [Operator Instructions] The first question today comes from Andrew Gadlin with Odeon Capital. 
Andrew Gadlin: I was wondering if you could talk, first, about how April has developed, given that it seemed to be a pretty cold month here in the Northeast, relative to normal experience and whether that can be material? And then secondly, if you could talk about some of the technology innovations that you're considering. 
Richard Ambury: Well, with regard to April, it was actually a bit warmer than what we -- I'm sorry, yes, a bit warmer than what we had hoped for. And when you compare it to last April, in the New York Metropolitan area, there was about 466-degree days. And in this April 2019, these numbers aren't final, there was 289 degree days. So that's a change April-over-April actually going the wrong way, if you will, of about 177-degree days. 
Jeffrey Woosnam: And in terms of new technology innovations, we have invested in a number of new technology platforms over the last 2 to 3 years. Some of them have, I think, worked out extremely well, and we've received benefit from them. We are evaluating the investments that we've made and really just trying to get the expected ROI from some of the things that we've invested in, things like mobile technologies that -- in the field for our service technicians, a new phone system that we're looking at holistically for the entire company and sales force, which is a CRM that we've invested in that we continue to try to just maximize the benefit from those systems. 
Operator: [Operator Instructions]  As there are no further questions in the queue, this concludes the question-and-answer session. I would like to turn the conference back over to Jeff Woosnam for any closing remarks. 
Jeffrey Woosnam: Well, thank you for taking the time to join us today, and we look forward to -- we thank you for taking the time to join us today and your ongoing interest in Star Group. We look forward to sharing our 2019 fiscal third quarter results with you in August. Thank you. 
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.